Operator: Good day, and thank you for standing by. Welcome to Atlas Arteria 2025 Results Presentation. [Operator Instructions] Please be advised that today's conference is being recorded. Due to legal restrictions, we are only able to communicate directly with eligible security holders and investors with respect to their eligibility to invest in Atlas Arteria securities. Details in relation to the ownership restrictions that apply to persons in the United States and other U.S. persons that are not qualified purchasers and qualified institutional buyers are set out on Atlas Arteria's website under the U.S. ownership restrictions. If you are not a qualified purchaser and qualified institutional buyer, please refrain from asking questions in relation to the securities as we are legally restricted from answering those questions on this call. I would now like to hand the conference over to Mr. Hugh Wehby, Chief Executive Officer. Please go ahead.
Hugh Wehby: Thanks very much, moderator, and good morning, everyone. It's great to be speaking with you all again today. So I'm really pleased to present Atlas Arteria's 2025 results alongside our new CFO, Vincent Portal-Barrault. As most of you would know, Vincent took on the CFO role in November last year. And of course, he knows the business well, having been with Atlas since 2018, most recently as Group Executive, Europe Strategy and Portfolio. First up this morning, I'll take you through some of the year's highlights before talking about our priorities to create long-term value. Vincent will then take you through the financials in more detail, and we'll leave plenty of time for questions at the end. We're pleased with this set of results, which reflect steady traffic growth, particularly in France and on the Dulles Greenway. A 9.4% increase in proportional toll revenue, a 9.3% increase in proportional EBITDA were also supported by CPI-linked toll increases in several jurisdictions. While these numbers highlight the strong operational fundamentals of our businesses, you can see free cash flow per security was slightly down. This was mainly due to the impacts of the French government's Temporary Supplemental Tax or the TST, which was levied on large businesses in 2025. Despite this, we will deliver a distribution of $0.40 per security for 2025, in line with our guidance. And today, we're announcing the same stable distribution of $0.40 per security for 2026. This outcome is testimony to the strength and resilience of the portfolio capable of delivering through varied economic and political conditions, thanks to its diversity in geographic, regulatory and currency exposure. 2025 was my first full year as CEO, and a key priority for me was ensuring we had the right people in the right roles, supported by a leadership structure that simplifies how we work, sharpens accountability and enables us to deliver sustainable value for all of our stakeholders. Our new executive team took effect in November with broader and more connected portfolios to enhance decision-making and execution. Amanda Baxter moved from a predominantly North American-focused role to Chief Commercial Officer. Amanda, who is based in Virginia, now has global accountability for business performance, corporate development and partnerships. Geraldine Leslie's role was broadened to Group Executive People, Culture and Sustainability, including leading the delivery of Safety, Risk and Corporate Support Services. During the year, we also appointed 2 very high-quality CEOs at our U.S. businesses. Luis Tejerina was appointed CEO of Chicago Skyway in May, and Kara Lawrence joined Dulles Greenway as CEO in October. Many of you will know Kara from her time as CFO and acting CEO at the Skyway. Both have broad experience in leadership, business transformation and the road sector, and we are working closely with each of them to make sure we get the most out of our businesses. So moving to Slide 7, and a simple but powerful change we've made this year is to our vision statement, partnering to deliver world-class road experiences. Most importantly, it makes it clear that partnerships are fundamental to our success. These partners include our co-investors, road management teams, host governments and local communities. Our vision is what guides the business and our ambitions. It is the basis on which we seek to deliver compelling long-term value for investors and all of our stakeholders. And by working towards this vision, we will create opportunities for ourselves and for our partners. Underpinning our vision are 4 value creation pillars, which provide a clear framework for the way we make our decisions, manage risk and work with these partners. And you can see these pillars as we move to Slide 8. The strategy pillar is about building and optimizing a world-class portfolio of road businesses to maximize cash flows and support sustainable distributions. We really think about this pillar in 3 ways: Firstly, unlocking value from our existing businesses, both in terms of operational performance and cash flows; secondly, creating more value by building on the existing portfolio's footprint; and finally, finding new sources of value beyond the current portfolio. Our next pillar reinforces the importance of investing in high-quality partnerships which strengthen our competitive positions. In this context, by partnerships, we are talking about our operating teams who are vital to ensuring our roads are performing at their best and the partnerships with our co-investors. Our development pillar makes it clear that a disciplined approach to growth is nonnegotiable. Our existing roads can go through operational improvements in carefully planned projects, but we are also considering new opportunities to grow or refocus the portfolio. The key here is discipline. We will prioritize opportunities with the ability to deliver distribution accretion, create compelling investor value and to support a balanced global portfolio. Finally, none of this is possible without effective capital management. Maintaining an optimal capital structure across our diversified portfolio gives us the flexibility to allocate capital efficiently and provides the basis both for stable distributions to investors and the facilitation of growth. I want to give a little bit more color to the way we are thinking about unlocking value beyond pursuing operational efficiencies at our existing businesses. We have several organic growth opportunities in our existing businesses, including potential new concessions like the A412 in France and, of course, preparing for new major concession opportunities in France, which I'll cover further in a couple of slides. We continue to assess new opportunities in OECD markets where we see attractive risk-adjusted returns. We are particularly looking for opportunities that complement and diversify the portfolio and we plan to maintain flexibility in how we fund any new investment. Of course, partnerships play a critical role in this strategy. And Slide 10 shows the lenses through which we prioritize partner selection and engagement. Primarily, we recognize that high-quality partnerships can create opportunities that Atlas Arteria could not capture on its own. As a pure play investor in toll roads, we bring strategic leadership, deep sector expertise and streamlined decision-making processes. We're agile in how we structure and evolve partnerships, and we have strong access to capital, which makes us a reliable and value-adding partner. Importantly, though, quality partnerships create real benefits on both sides. Not only do they open new access to opportunities for us, but they also allow us to combine insights, capabilities and experience to create value at all stages of a business life cycle. They support capital efficiency, risk mitigation and stronger engagement with regulators, lenders and other stakeholders. Importantly, we are also very clear on the fundamentals of a good partnership. It starts with a shared vision for how to create long-term value. Similar appetites for risk and a willingness to work genuinely collaboratively. Transparency, clear decision-making and escalation processes are also essential to ensuring partnerships remain constructive and focused on priority outcomes. These fundamentals are what we continuously go back to when identifying the right partner when deepening existing relationships and we're building new ones to strengthen the portfolio and support long-term value creation. So now moving on to future opportunities in France. As you know, France's major motorway concessions begin expiring from 2031, and the government is currently considering the framework that will apply to future concessions. We believe the long-term outlook for toll road operators in France remains positive. The Ambition France Transports process reaffirmed the importance of tolling frameworks in funding the country's transport infrastructure needs. We jointly control APRR with Eiffage and have worked with them for the past 20 years. APRR itself benefits from an experienced management team, deep stakeholder relationships and a solid balance sheet. In February, the French Parliament approved the 2026 finance law and extended the temporary supplemental tax for an additional year. Importantly for us, as renewal processes approach, the stability, clarity and certainty of concession and tax settings will be important inputs into our bidding decisions. However, overall, we are confident APRR is well placed to participate. Moving to Dulles Greenway, and as I've mentioned, we're very excited to have appointed Kara Lawrence as CEO. Kara has come across from the Skyway and has spent time taking a fresh look at business performance and operations. She has supported the recent rate case, including providing testimony and representations on Dulles Greenway's financial performance and the role that sustainable rate increases play in this. In December, we submitted a rate case to the Virginia State Corporation Commission, requesting increases to the maximum toll rates and proposing alternative pricing options. The submission draws on multiple working group sessions with key stakeholders, including the State Corporation Commission, Virginia Department of Transportation, Virginia Attorney General's Office and Loudoun County, ensuring the record is informed by early engagement and a well-developed understanding of the key technical inputs. More broadly, we continue to pursue a multifaceted approach to unlocking value from this business. I'll now hand over to Vincent to take you through our approach to capital allocation.
Vincent Portal-Barrault: Thanks, Hugh. I'm pleased to be here today in Melbourne to present the full year 2025 results, my first as CFO at Atlas Arteria. Before we go into more detail on the financial performance for the year, I would like to start by reminding you of our capital allocation framework, and the approach we take to create sustainable distributions and drive long-term value for shareholders. The capital allocation framework that you see on this Slide 13, explains how we allocate our cash flows between distributions and reinvesting in our businesses. It is unchanged from previous periods. This framework, combined with strong underlying performance is the base on which we can deliver stable distributions to investors in the short term and build opportunities which increase long-term value. Let's now discuss the full year 2025 financial performance in more detail. In 2025, our businesses performed well with steady traffic across the group despite an uncertain global geopolitical environment. Increases in toll prices as well as positive movements in foreign exchange rates, supported higher revenues, up 9.4% and a steady EBITDA margin. The strength of the balance sheet and the solid underlying business performance give us the confidence to confirm the distribution guidance of $0.40 per share for 2025, and to provide guidance of $0.40 per share for the 2026 distribution. At the half year presentation in August '25, we noted that we expected that the full year distribution for 2025 would be above our policy range of 90% to 110% of free cash flow. Given that the TST has been extended for a further year, we are also anticipating that 2026 could fall at the top or slightly outside of that range. Nonetheless, we continue to focus on optimizing our portfolio and unlocking cash flows, and we expect to be able to grow free cash flows over the next few years. To further support stable distributions, we have continued our FX hedge program, protecting against significant currency fluctuations on a portion of the expected euro distribution from our businesses. These arrangements have had 0 upfront cost and the program is on a rolling 12-month basis. Going forward, we will continue to assess the appropriate coverage level and FX rate ranges. The balance sheet across our businesses and at the corporate level remained strong. During the year, $1.4 billion of bonds and notes were priced at APRR and Chicago Skyway, supported by strong investor demand. We will continue to assess refinancing opportunities in 2026 to maintain optimal capital structures across our businesses. At the corporate level, the available cash balance is $151 million at the end of 2025. Managing our balance sheet and cash position carefully provides funding flexibility and a buffer to absorb temporary impacts to cash flows. Before we go through the financial results in detail, let's look at operational performance. Traffic at the APRR Group rose 1.4% in 2025; at ADELAC growing commuter volumes to Geneva lifted traffic by 1.5% for the year; in Germany, at the Warnow Tunnel, traffic was down 3% compared to 2024 due to roadworks; and in the United States, Chicago Skyway hedged down 0.3%, reflecting the impact of U.S. tariff-related disruptions; and Dulles Greenway traffic continued to grow strongly, up 8.2%, despite the impact of the U.S. government shutdown, which ran for 6 weeks in the fourth quarter. The continued growth there demonstrates the value customers see in this road compared with heavily utilized alternatives. So far this year, APRR traffic has been impacted by farmer strikes and difficult weather conditions. Similarly, there have been some weather-related disruptions at both our U.S. businesses, and whilst the influence of winter weather is not new, particularly in Chicago, winter storms have been unusual in their severity over the past 2 months. The roads have recovered well, and we will, of course, provide the full impact to the quarter in our quarterly traffic release. On the next slide, we can see how traffic results have translated into our proportional results. We have continued to see solid growth in toll revenues and EBITDA into 2025, which grew by 9.4% and 9.3%, respectively, resulting in a stable EBITDA margin of 75%. This reflects the traffic growth explained on the previous slide, combined with inflation-linked toll increases and favorable movements in the euro and U.S. dollar exchange rates against the Australian dollar. Hugh mentioned earlier, the resilience and diversity of our portfolio in geographic, regulatory and currency exposure, and we can see this coming through in the proportional results. Moving to our cash flows for the year on Slide 18. We have summarized this into 3 groupings. Firstly, cash we received from our businesses, which in 2025 was $549 million, this is 2% lower than 2024, mainly reflecting the impact on APRR distributions of the TST implemented in 2025 but partly offset by operational performance and favorable movements in the euro against the Australian dollar. The second category is corporate cash flows, primarily corporate costs, which I will discuss in more detail in the next slide. And capital injections and proceeds, if any. The last category are the cash distribution paid to investors during the year, which was a combined $580 million or $0.40 per security across the second half 2024 and first half 2025 distributions. The last thing to note here is that our corporate cash balance remains strong. With Slide 19, we are moving from the cash balance -- from the balance sheet, sorry, to the income statement and our financial performance compared to 2024. Total revenue, which is the roll-up of revenues from Dulles Greenway and the Warnow Tunnel businesses was up 10%. This reflects improved traffic performance at the Dulles Greenway, increases to toll rates, and the impact of the Australian dollar depreciation. Business operation costs increased this year due to a higher maintenance provision at Dulles Greenway where the timing of asphalt rehabilitation has been brought forward, but this is simply a timing difference. Overall, corporate and business unit costs combined are within guidance, and we expect total cost in 2026 to be in line with 2025. Centralized costs in the period included some nonoperating costs such as CEO transition costs, which we had flagged at the half year presentation, and costs related to the organization restructure completed at the end of 2025. Going forward, we do not anticipate any material costs relating to restructuring or the CEO transition. You will note an increase in costs associated with assessing growth opportunities during the period. This relates to both the work that we are doing to unlock value at Dulles Greenway, as previously flagged, as well as the consideration of new opportunities to build and optimize our portfolio in line with our stated strategy. By their nature, future costs related to executing our Dulles Greenway strategy and growth strategy will vary year-on-year. We expect cost of this type to be within the range of $5 million to $10 million per year on average over the next 2 to 3 years. We will update these expectations over time based on outcomes and as priorities evolve. We will capitalize growth spend where appropriate, maintain a sharp focus on our cost base and intend for these growth-related costs to be funded from the corporate cash balance. Now moving down the income statement. The share of profit from our equity-accounted investments, which include APRR and Chicago Skyway, was down mainly due to the impact of the French TST. Overall, we are pleased with the underlying performance of our businesses and our execution against our strategy, which positions the business well for long-term success. And with that, I'll now hand back to Hugh to wrap up.
Hugh Wehby: Thanks, Vincent, and it's been great to have you present this result with me in Melbourne today. During the year, we've made some meaningful progress on simplifying our organization and clarifying the path forward. We have a list of priorities, and we are pursuing these with energy and discipline. These include unlocking and enhancing value of our existing businesses, optimizing capital allocation and structures, and building and deepening partnerships to create value-accretive growth opportunities. Through these efforts, we will continue to grow our free cash flow and deliver compelling returns for our investors. Thanks for your continued support, and we'll now open the floor for questions. Thank you, moderator. Back to you.
Operator: [Operator Instructions] Our first question is going to come from the line of Andre Fromyhr with UBS.
Andre Fromyhr: First question I have was just -- maybe to general question about the profitability of operating, I guess, especially the APRR and Skyway. I'm just curious why we're not seeing any operating leverage across these 2 assets? The margins are sort of flattish at APRR and there's a bit of a decline in Skyway. But the revenue context is okay. So what do we need to see change in order to expect some margin expansion at these 2 roads?
Vincent Portal-Barrault: Thanks, Andre. So on the APRR margin, you have to keep in mind that the TST is above the EBITDA line. So when you see a flat EBITDA margin, that means that actually operational costs have been decreased -- have been decreasing compensated by the increase in the TST. At the Skyway, we had some changes during the year with the new CEO coming, so there was some CEO transition costs, and some changes to the executive team as well, along with some legal costs associated with disputes with the grantor that are on the process to resolution, and we don't expect those costs to be maintained in future years.
Andre Fromyhr: Just thinking about the hedging program, can you say a bit more about sort of what prompted the strategy to use that as of sort of '25 and going into '26 because we've seen FX volatility historically, but I'm curious as to what's prompted you to actually proceed with that now? And are there net costs associated with managing that hedge book and the positions that you're taking?
Vincent Portal-Barrault: So you actually sort of gave the answer as well. The volatility in FX rates historically is what prompted us to think about hedging our distribution. The vast majority of our distribution is coming from the APRR distributions in euros. And with volatility heavily impacts our ability to fund our $0.40 per share distribution. So what we have put in place has a 0 cost. It's a cap and collar hedging for a portion of upcoming distribution over the next 12 months.
Andre Fromyhr: Okay. And then last 1 for me. I understand the distribution payout range. And forgive me, the detail might be in the presentation. But is that really just a comment on 2026? Or is that now the new normal to think about free cash flow payouts? And then I guess as a part of that question, if there was some adverse change in earnings or if the TST was extended for another year. Have you got the flexibility for things like capital releases or other cash releases across the portfolio to maintain that $0.40? I mean thinking about Skyway more specifically in terms of the opportunity to release more capital from there?
Hugh Wehby: Thanks, Andre. You're correct. The comment around being above the range or towards the very top of the range for 2026 is specific to that year. At this point in time, the TST has been extended for 2026 only. So it really only applies to that year. To the extent we get future cash flow disruption or one-off impact, we do have some buffer both in existing cash balance, but also in capital headroom at various parts of the portfolio, but you're actually right, including the Skyway over time, which generates ongoing capacity for additional debt as the toll formula comes into action each year. So we have flexibility. What we can see today would indicate we can revert to the payout range of 90% to 110% beyond 2026, but we will keep seeking to retain flexibility to provide buffer against any one-off impacts.
Operator: Our next question will come from the line of Rob Koh with Morgan Stanley.
Robert Koh: Just a minor question about CapEx at the Skyway. Looks like in 2025, you came in under budget. Is that some of the expenditures now in this year's guidance? And maybe if there's any color you could share about what kind of longer-term run rate for CapEx at the Skyway, please?
Vincent Portal-Barrault: Thanks, Rob. You are right. Some of the projects were rescheduled from 2025 to 2026. And that's the reason why the number came down in '25 and why we are guiding on '26 for a slightly higher number as well. Over the long term, I would send you back to the guidance that we gave at the time of acquisition, which is still valid of long-term $11 million per annum. But in the medium term, we expect to be slightly above that.
Robert Koh: That's very helpful. Second question is, I guess, in relation to the new, I guess, call out of expenditure for growth-related activities, this is a $5 million to $10 million per annum. Can you maybe give us a sense in 2025 of what the breakdown of the $8.9 million was? And I guess, how we should be thinking about it for this year? Is it a similar amount for the Greenway and a similar amount for other opportunities?
Hugh Wehby: Thanks, Rob. So yes, good question, and it is the first time we've called out those growth-related costs separately. While I won't give you the specifics of the breakdown, what I can say is that, we continue to spend an above run rate amount on our Dulles Greenway efforts, you saw that in 2025 -- 2024, apologies, and you can see that in the comparative period, which was almost all Dulles Greenway. And you've obviously seen a higher number this year is particularly once we reset the strategy, we did actively consider growth opportunities, inorganic growth opportunities beyond Dulles Greenway. The guidance we've given is for 2 to 3 years. The reason we've given it for the reasonably short term and although a small number in total are quite a large range of $5 million to $10 million, is it does depend upon the opportunities and the timing of those emerging. The work we've done in 2025 isn't sunk cost. We'll continue to utilize that, and we'll continue to look at other opportunities. But really, the $5 million to $10 million funded by balance sheet cash is what we expect to spend in the next 2 to 3 years including both the Dulles Greenway efforts and inorganic growth opportunities.
Robert Koh: Okay. Just a third question, probably a little bit more high level. I know you've done an enormous amount of work on your capital allocation framework, probably should have thought of this question earlier when you first introduced it. But $0.40 per share distribution targets or at least is very clear. But given that in the last couple of years, you're paying out some capital with that. How would you -- how would the Board think about maybe reducing the cash distribution, but doing the rest as a buyback or something like that, would that be perhaps more accretive?
Hugh Wehby: At this point, Rob, we've looked at all opportunities for utilization of the cash on our balance sheet. And we've retested that when I started with significant amounts of assessment in detail, and not purely financial consequence, but looking at all consequences of various decisions. At the time and after consulting with investors, we decided the maintenance of the $0.40 was very important. And we do see a pathway to falling within the payout range in the very short term. Now that's been deferred because of the TST, I acknowledge that. But when we became comfortable that we could get back on the path to sustainable distributions within our targeted payout range, we did decide the best use of that cash was the $0.40 distribution into the medium term.
Operator: Next question will come from the line of Ian Myles with Macquarie Equities.
Ian Myles: I just want to be able to provide us a little bit more color on the updated framework for the APRR and the retendering.
Hugh Wehby: I'll start and I'll throw it to Vincent as well. There's no framework law as yet finalized. So we are taking the outcomes of the Ambition France Transport conference and various statements from ministers around the need for tolling and concession models into the future to support the maintenance of a high-quality major arterial road network. And you will see some comments in the [ IFRS ] results to the same end. What we're expecting practically is that the formation of the law and the structure of the contracts or concessions but not to be finalized until beyond the Presidential Election in 2027. But Vincent, anything you'd like to add?
Vincent Portal-Barrault: Just maybe that indeed what we are seeing emerging as directionally is that the next generation of contracts -- concession contracts would be for smaller perimeters, shorter durations than historically and would have a slightly different or reinforced economic regulation. So that's what we are seeing and what the government has been pushing forward.
Ian Myles: Does that mean you're going to see like you could own like an APRR but you couldn't own an area even though you merge the 2?
Hugh Wehby: No, no. What we mean by that is that APRR might not have the same perimeters as APRR has today, albeit that that's not been finalized. The 7 major contracts could be a different number of major contracts. It doesn't mean that you can't bid for multiple contracts at this point in time, albeit, again, the regime and the perimeters have not been defined, but Vincent is quite right. The commentary around the size of the concessions, the participants in the market and the economic regulation have all been made. What we said in our presentation remains true with those contexts that we actually remain very interested. We believe that those parameters could indeed work for APRR as a well-positioned entity to participate in future opportunities, but we will need to assess the concession regime and importantly, the tax regime at the time to make sure the decisions we're making are consistent with our investors' expectations.
Ian Myles: Okay. And then on Skyway, what's your sort of thought process around a capital release in FY '26 because you do have a bit of refinancing work to do?
Vincent Portal-Barrault: Yes. So we have some debt maturing later in the year. At this stage, I would say we are not anticipating capital release. However, we'll continue to assess that opportunity in the next few months.
Ian Myles: Okay. And that doesn't put any strain on the balance sheet to cover off the French long-dated the temporary tax staying around a bit longer.
Vincent Portal-Barrault: No.
Ian Myles: And in terms of Greenway, where are we in the process there in terms of the SCC? And when do they actually have to sort of set time lines for this process?
Hugh Wehby: Thanks, Ian. The SCC or Virginia actually published a timetable this week, which has -- no, not correcting you there, it's brand new as of yesterday, I think it was. But it sort of culminates in a similar timetable to what we saw last time and with the public hearing scheduled for August. So that's the culmination of that. There's obviously many steps in the middle, which you can see on the website that public hearing scheduled for August at this stage remains subject to decision and change by Virginia.
Ian Myles: And should we expect you to push your application for another price rise prior to the public hearings?
Hugh Wehby: We continue to assess the right timetable, perhaps given we only submitted in December 2025, we've talked about submitting annually. So we got a little bit more buffer than before the hearings. However, you should expect that we remain disciplined and submit every year in order to get the runs on the board and get that process working more efficiently. We're obviously also working in the background with the state on things like legislation and litigation which could inform how that process works going forward. But right now, the expectation is we'll continue to do it annually.
Operator: Our next question will come from the line of Anthony Moulder with Jefferies.
Anthony Moulder: If I could start with distribution is, obviously, the growth focus now will -- if there are growth opportunities, are you saying effectively that $0.40 is the base case and acquisition opportunities or growth opportunities will only be considered accretive to that level of distribution?
Hugh Wehby: Thanks, Anthony. Yes, that's 1 of our key parameters. So we -- look, we really point to 3 parameters that will consider our growth opportunities through, distribution accretion being 1 of them, valuation being the second, and portfolio balance and optimization being the third. So you're absolutely right. When we think about the $0.40, that's the baseline for that assessment.
Anthony Moulder: Good. And I wanted to check the -- there was a reserve consolidation at APRR company level. I think that was back in June last year. I think that was $533 million, just when -- how did that profile through the second half of fiscal '25, please? And how much is left effectively to support that distribution of $0.40 for FY '26.
Vincent Portal-Barrault: We are distributing out of APRR on the basis of the cash flow and the statutory profits. So at the moment, we are not utilizing those reserves.
Anthony Moulder: I guess that's still possible if you needed to going forward?
Vincent Portal-Barrault: Can't exclude it.
Operator: [Operator Instructions] Our next question comes from the line of Suraj Nebhani with Citi.
Suraj Nebhani: Just 1 question on the free cash flow implied guidance based on the distribution is -- so, I guess, just can you run through the key drivers there? Obviously, you highlighted the costs, but any major changes are you expecting on the financing cost side of things over the next 12 months [ or so ]?
Vincent Portal-Barrault: No. I mean not outside of interest rate movements. But as you know, most of the debt at our businesses is fixed rate.
Suraj Nebhani: At an APRR level with all the debt that is expiring as well. Can you just remind us is there any impact that you expect in the short term from a debt cost level?
Vincent Portal-Barrault: No. I mean, I can come back to you on the exact debt maturing, and you can also find it in the investor reference pack. But generally speaking, the approach is that we refinance debt as it becomes due. And as I was saying earlier, we are not anticipating regearing for this year.
Suraj Nebhani: And on the hedging side of things, you also flagged managing the distribution. Does it mean that there could be a bit of a disconnect there with respect to cash flow recognition in the earnings? Like -- clearly, APRR will earn revenue through the period. And if the currency moves against you, is it possible that the payout pressure range flexes, but the -- that the distribution remains the same?
Vincent Portal-Barrault: Yes, it's possible. But the purpose of the FX hedge is to minimize the disruption, particularly for material variation in the FX range. We're still exposed to small variations though.
Operator: Our next question comes from the line of Owen Birrell with RBC.
Owen Birrell: I just wanted to, I guess, delve into the comments around pursuing complementary growth opportunities and then also in particular, progressing the preparation for French concessionary tenders. Just wondering how you think you've got funding these opportunities and whether there's been any change in the attitude towards utilizing new capital to pursue these? Or should we continue to think this will be self-funded?
Hugh Wehby: Thanks, Owen. We really refer back to our capital allocation framework when we think about funding both the small and large opportunities. When we think about the incremental opportunities in France specifically, things like the A412, generally speaking that will be funded within the businesses that exist and won't require injections of equity or debt from outside the group. So that's how we generally think about that. That does not apply to the retenders. And in the context of what we were discussing with Ian, with uncertainty around size, structure and tenure of these opportunities, we still believe that will be significantly bigger than the incremental network expansions that have been occurring today. So they would likely require new capital. Now clearly, the first 1 is expiring in 2031. That's not our one, but the SANEF expires in 2031. So we've got some time to think about that in line with our partners in France. When we think about the broader inorganic growth opportunities beyond the current portfolio, we really think about it in the terms of output. So not to harp on about the same things, but yield accretion, valuation and portfolio balance. The form of capital required will vary, but we will come back to those 3 outputs and say does it meet those 3 hurdles, if so, is it worth pursuing. We do have, obviously, balance sheet cash, we have debt capacity. So that is usable, but it depends on the size and it depends on the outputs of the project we're considering. So I can't give a generic example, but very much focused on the outputs as opposed to the inputs.
Operator: Thank you. And I would now like to hand the conference back over to Hugh Wehby for closing remarks.
Hugh Wehby: Thank you, everyone, for your participation. Great to catch up with you, and we look forward to seeing you in our roadshow as we go forward. Have a great day.
Operator: This concludes today's conference call. Thank you for participating.